Operator: Good morning, and thank you for attending VPG's Third Quarter Fiscal 2022 Earnings Call. I would now like to pass the conference over to your host, Steve Cantor, Senior Director of Investor Relations with Vishay Precision Group. Thank you. You may proceed.
Steven Cantor: Thank you, operator. Good morning, everyone. Welcome to VPG's Third Quarter Earnings Conference Call. Our Q3 press release and accompanying slides have been posted on our website. An audio recording of today's call will be available on the internet for a limited time and can also be accessed on our website. Today's remarks are governed by the safe harbor provisions of the 1995 Private Securities Litigation Reform Act. Our actual results may vary from forward-looking statements. For a discussion of the risks associated with VPG's operations, we encourage you to refer to our SEC filings, especially the Form 10-K for the year ended December 31, 2021, and our other recent SEC filings. On the call today are Ziv Shoshani, CEO and President; and Bill Clancy, CFO. I'll now turn the call to Ziv for some prepared remarks. Please refer to Slide 3 of the quarterly presentation. Steve?
Ziv Shoshani: Thank you, Steve. I will begin with some commentary on VPG's consolidated financial results and sales trends for the third quarter. Bill will provide financial details about the quarter and our outlook for the fourth quarter of 2022. We achieved another solid quarter for VPG. We grew our revenue sequentially than from a year ago despite ongoing headwinds from foreign currency. We delivered $0.69 in adjusted EPS and achieved an adjusted EBITDA margin of 17.9%. Orders grew slightly from the second quarter, and we had a positive book-to-bill of 1.08. Our strong backlog positions us well for the fourth quarter. Compared to the first 9 months of 2021, our revenue year-to-date increased 16.9% or 22.7%, excluding the impact of currency. We generated $11.8 million of cash from operations and $5 million of free cash flow, which supports our capital allocation strategy to grow shareholders' value. We repurchased $1.1 million of our common stock during the third quarter, and we expect to continue to execute our share repurchase program in the fourth quarter, $1.1 million. Moving to Slide 4. Looking at the third quarter results in detail. We reported sales of $90.1 million, which was 9.9% higher than a year ago and 1.6% above the second quarter of 2022. Our sales performance was impacted by foreign exchange, which continued to be a significant headwind in the quarter, particularly in our Sensors and Weighing Solutions segment. FX impacted our total revenue by $5.3 million compared to a year ago and by $1.8 million when compared to the second quarter. Thus, excluding FX impact, revenue grew 17.5% from the prior year and 3.7% sequentially. Orders of $96.9 million grew sequentially, and we had a book-to-bill ratio of 1.08. This is our seventh sequential quarter of reporting book-to-bill above 1, which we accomplished in an uncertain global macroeconomic environment. We generated an adjusted EBITDA margin of 17.9% and adjusted diluted net earnings per share of $0.69. These results reflect the steps we have taken to further optimize our manufacturing operations and footprint while investing in our growth and global competitiveness. While higher costs have continued to impact some of our businesses, we have passed on price increases to mitigate these higher material, labor and logistics costs. Through the first 9 months of 2022 compared to the same time frame a year ago, we realized $6.3 million from price increases. This puts us on track to achieve the high end of our target of $6 million to $8 million of incremental revenue in 2022 from our ASP increases. I'll now review our business segment performance in the third quarter. Moving to Slide 5. Beginning with our Sensor segment, which includes our advanced sensors product and our precision resistors. Third quarter revenue of $37.9 million grew 23.3% from a year ago and was 6.0% lower sequentially. Foreign currency continued to significantly impact sensors revenue and resulted in a negative impact of $2.7 million and $700,000 to the sensors top line compared to a year ago in the second quarter respectively. Excluding the FX impact, sensors revenue grew 35.1% from a year ago and was down 4.2% sequentially. Sales of advanced sensors were at a rate of $50 million annualized run rate in the third quarter. For the first 9 months of 2022, AS sales were 45% higher than the same period a year ago. We continue to reduce our manufacturing lead times and work with both existing and new customers on new projects across a range of applications. Sales of precision resistors were modestly lower from the second quarter. Roughly half of the decline was related to unfavorable currency effects, the other half of the decline related to lower sales in the test and measurements market in Asia. We continued our strategic initiatives to secure design wins in new emerging applications in data centers and EV battery. Book-to-bill for sensors was 0.99. Sensor orders of $37.4 million declined from the second quarter, which reflected 2 factors: first, the timing of some large semi-annual customer orders, which were recorded in the second quarter. And second, we had softer demand for precision resistors in the semi-conductor equipment market and lower orders for strain gages. In terms of operating results for sensors, gross margin of 40.5% declined sequentially from 44.3%, reflecting lower volume, one-time inventory adjustments and unfavorable foreign exchange. In conjunction with our strategic operational excellence plan in the third quarter, we completed a shutdown of our Legacy strain gage facility in Israel, which we expect will yield approximately $1 million in annual cost savings. We also completed the expansion of our Japanese facility for our precision resistors products to support new automated manufacturing lines that will give us the infrastructure to address key growth opportunities and will increase our long-term manufacturing efficiency. Moving to Slide 6. Turning to our Weighing Solutions segment, which is comprised of our force sensors, onboard weighing and process weighing businesses. Third quarter sales were $31.4 million or 10.3% higher than Q2. The increase primarily related to higher sales of OEM force sensors in our precision agriculture and construction markets and higher sales of our onboard weighing products in Europe due to improved availability of electronic components. As we indicated in our prior earnings call, we redesigned electronic boards of some OEM force sensors products to improve the supply chain availability. These redesigned products were shipped in the third quarter. Book-to-bill for Weighing Solutions was 1.05. Orders of $33.1 million increased 12.8% from the second quarter, mainly due to a large order for precision agriculture applications. Weighing solutions gross margin of 33.3% compared to 33.7% in the second quarter. The Weighing Solutions gross margin was impacted by unfavorable foreign exchange and higher material costs, which were offset by higher volume and our selling price increases. Moving to Slide 7. Turning to our Measurement Systems segment. Revenue in the third quarter of $20.8 million increased 4.5% sequentially, reflecting higher project-driven sales of DSI, the metal alloy development tools and higher sales of DTS, the safety crash test systems. Orders rebounded strongly from the second quarter and grew 35.7% sequentially, reflecting higher demand, particularly for DTS product in the avionics, military and space market and for health systems sold to the steel market. As we have discussed before, order pattern can fluctuate quarter-to-quarter due to the timing of customer projects and long lead time for these products. The stronger orders, which resulted in a book-to-bill ratio of 1.27, positions Measurement Systems for a sequential growth in the fourth quarter. Adjusted gross margin in the third quarter for Measurement Systems improved sequentially to 56.7% from 53.3% due to higher sales and favorable product mix. Moving to Slide 8. Before turning the call to Bill, I want to comment on our capital allocation strategy, and the resilience of our business strategy and cost structure. As I mentioned earlier, in the third quarter, we generated $16.1 million of adjusted EBITDA and an adjusted EBITDA margin of 17.9%. We believe that our strong balance sheet and ample liquidity support the capital allocation strategy that can fund organic growth, M&A opportunities and stock repurchases. We have been executing the stock repurchase program we announced in August and to buy back up to 600,000 shares of our outstanding common stock. In Q3, we repurchased approximately $1.1 million of our stock or about 33,000 shares, and we expect to continue to execute our program in Q4. In parallel, we are continuing to invest to optimize our manufacturing and to accelerate our longer-term growth, in addition to the project we have been completing in the sensor segment that I mentioned earlier. We expect to complete our manufacturing project in India in early 2023. We believe this long-term investment support our ability to address expanding growth opportunities. While there are uncertainties in the current macroeconomic environment, we like our diversified application and end customer base as we have demonstrated in the past. We expect this balance would provide relative stability in the face of economic trends that may impact specific markets. I will now turn it over to Bill Clancy for additional financial details. Bill?
William Clancy: Thanks, Ziv. Referring to Slide 9 and the reconciliation tables of the slide deck. In the third quarter of 2022, we achieved revenues of $90.1 million, gross profit of $37.3 million or 41.4% of sales, operating income of $11.9 million or 13.2% of revenues and diluted net earnings per share of $0.74. On an adjusted basis, our gross profit was $37.6 million or 41.7% of sales, operating income was $12.3 million or 13.7% of sales and diluted net earnings per share was $0.69. Our third quarter revenues increased 1.6% compared to $88.6 million in the second quarter of 2022 and were 9.9% above the third quarter a year ago. Foreign exchange for the third quarter negatively impacted revenues by $5.3 million compared to a year ago and negatively impacted revenues by $1.8 million as compared to the second quarter of 2022. Gross margin in the third quarter was 41.4% compared to 42.1% in the second quarter of 2022, which benefited from higher volume and selling price increases, which was more than offset by a higher material cost, unfavorable foreign exchange rates and reduction in inventories. On an adjusted basis, third quarter gross margin was 41.7% as compared to 42.9% in the second quarter of 2022. Our operating margin was 13.2% for the third quarter. Adjusted operating margin in the third quarter was 13.7%, which was the same as in the second quarter of 2022. Selling, general and administrative expenses for the third quarter were $25.3 million or 28.1% of revenues compared to $24.6 million or 30% of revenues for the third quarter of 2021. The increase in SG&A of $700,000 mainly relates to $600,000 for head count and wage increases, $500,000 of fees, $400,000 for travel and $400,000 of other costs, partially offset by $1.2 million of positive foreign exchange rates. The adjusted net earnings for the third quarter were $9.5 million or $0.69 per diluted share compared to $7.1 million or $0.52 per diluted share in the third quarter of 2021. Adjusted EBITDA was $16.1 million or 17.9% of revenue compared to $13.7 million or 16.8% a year ago. Purchase CapEx in the third quarter of 2022 was $4.8 million, the majority of which reflects equipment purchases and related infrastructure. For fiscal 2022, we expect purchase CapEx to be in the low $20 million range. Approximately half of our purchases are infrastructure related to support additional capacity expansions for growth initiatives for precision resistors in the Sensors segment and force sensors in the Weighing Solutions segment. The other 50% of CapEx is mainly for equipment for expansion and cost efficiencies in the Sensors segment. Adjusted free cash flow was $5 million for the third quarter of 2022 as compared to $3 million for the third quarter of 2021. We define adjusted free cash flow as cash from operating activities of $11.8 million, less capital expenditures of $6.8 million. The GAAP tax rate in the third quarter was 18.6% as compared to 23.4% in the third quarter of 2021. Recall that in the prior year, our tax rate reflected a one-time tax benefit of approximately $600,000 associated with the DTS acquisition. We are assuming an operational tax rate in the range of 20% to 22% for the full year of 2022. Moving to Slide 10. We ended the third quarter with $79.9 million of cash and cash equivalents and total long-term debt of $60.8 million. Regarding the outlook for the fourth fiscal quarter, we expect net revenue to be in the range of $88 million to $98 million at a constant third fiscal quarter 2022 exchange rates. In summary, we achieved solid performance in the third quarter. We grew our orders in the quarter, which underscores the strength of our business model and strategy. Our healthy backlog positions us to finish 2022 on a strong note. And we continue to implement a balanced capital allocation strategy aimed at increasing our long-term shareholder value. With that, let's open the lines for questions. Thank you.
Operator: [Operator Instructions]. The first question is from the line of John Franzreb with Sidoti.
John Franzreb: I guess I could start with the really impressive order book that you registered in the quarter. I'm curious, how firm is the order backlog? In other downturns, could customers cancel orders? Or do they take delivery no matter what?
Ziv Shoshani: As you know, John, we are servicing many, many niche markets. In some cases, we have non-cancelable, non-returnable policy. At this point, the age backlog breakdown is around I would say -- give or take, it's around 50%, which is expected to be delivered within the next quarter, while the other part is early next year. The backlog itself is a breakdown of short-term orders and longer term projects, which is confirmed by our customers. Given the nature of our business and the products we deliver, we feel that the backlog is very firm. We don't expect cancellations.
John Franzreb: What are your thoughts, Ziv, about what's going on in Europe? What are your customers telling you and how are you preparing for maybe potential manufacturing production disruptions this coming winter?
Ziv Shoshani: So looking at our global operational footprint, we have a very, very small footprint in Europe. All of our larger operations are based in North America, Asia and Israel. So therefore, the risk of losing manufacturing is very, very small because we have a very small footprint. Most of our technology centers are in Europe, but very little on the operational side. Regarding the customer sentiment, except some stabilization in the general industrial market, we still see good trends from our European customers.
John Franzreb: Last quarter, you were having some success in the consumer products market. I wonder if that carried over into the third quarter. And are you still getting new kind of wins, branching out into different markets. What's the outlook there?
Ziv Shoshani: The consumer market is mainly around the Sensor segment and around Weighing Solutions. In the Sensors segment, we have seen stabilization in the consumer electronic market as well as the consumer market. And given the indication we have received from customers, we don't expect at this point in time any significant changes from the from the Q3 order run rate, which we see it as a level of stabilization or at the level of a baseline. At this point in time, we don't see any sign of recession for our business.
John Franzreb: One last question. Your long-term goals include M&A. Can you just give us an update what you're seeing out there as far as targeted acquisitions? Any M&A the price is lofty or prices coming down? Just your overall thoughts would be great.
Ziv Shoshani: Given the market volatility, we definitely see more opportunities. We have been in dialogue, and we are all the time exploring M&A opportunities as part of our capital allocation strategy. I do believe that there are already some signs of lower valuations, if I may say, more reasonable valuations. At this point in time, I have nothing tangible to report, but no doubt that M&A is very high on our capital allocation strategy.
Operator: [Operator Instructions]. The next question is from the line of Bill Dezellem with Tieton Capital Management.
Bill Dezellem: How would you characterize the price increases that you have achieved so far compared to your ultimate need to recapture cost increases, please?
Ziv Shoshani: Bill, if you can recall, we started the price increase a while ago, given the size of the backlog. We have started that already more than a year ago. We believe that we have seen that those prices has been offsetting the higher pandemic-driven cost. And we are not alone. We are not alone in raising prices in our market. Our approach to pricing is to realize value from our product and technologies without damaging our customer relationship. And this was the policy all along. And I do believe that so far, it was quite a success. It's never easy or it's never trivial, but I think that if you approach it correctly and if you have the right stickiness, relationship with your customers, this is something that we have been able to execute. And as I said, for us, the most important without damaging our customer relationship.
Bill Dezellem: Fourth quarter, are you anticipating additional price increases that will flow through? Or are you largely complete at that point?
Ziv Shoshani: As I indicated before, the run rate for price increase for the first 9 months was around $6.3 million for the first 9 months of this year in respect to last year. The momentum will continue, and we are definitely going to achieve our target $6 million to $8 million. We will be on the higher end to the $8 million in Q4, which means we will see an additional price increases flowing into the Q4, which is a continuation of the momentum during the last few quarters.
Bill Dezellem: Moving to point 3, I guess, was really more my focus. Are you anticipating that run rate to increase further? Or does that largely capture what you have done?
Ziv Shoshani: Regarding additional price increases or I would say, reassessing our pricing strategy, we are in the midst of looking or reviewing during this budget process also our strategy into 2023, given all the moving parts, the additional post-pandemic costs, the higher logistics, the labor cost increase and we are in the stages of reassessing our price policy. I would say that all-in-all, we should expect to see a positive momentum moving to 2023 regarding price increases, but at this point in time, it will be hard to tell at what magnitude. But I do believe that the positive momentum will continue into next year.
Bill Dezellem: That is helpful. And one additional question, if I may, relative to the TruckWeigh and VanWeigh market. Would you give us an update in terms of the activity level that you were seeing there and how you anticipate that market?
Ziv Shoshani: Sure, absolutely. The sales for TruckWeigh and VanWeigh were flattish sequentially, reflecting continued tight supply of vehicles in Europe and weaker economic factors in the U.K. While shortages of some microchips has eased, availability of new vehicles for our customers remain tight, while we are hopeful to see improvement in 2023. At this point in time, given the economic headwinds in Europe, it is difficult to predict the exact timing. But to summarize, we still see an effect regarding the supply of vehicles, which is affecting our ability to sell many more units of TruckWeigh and VanWeigh.
Operator: [Operator Instructions]. There are no additional questions waiting at this time. So I'd like to turn the call back over to Steve Cantor for concluding remarks.
Steven Cantor: Thank you all for joining our call today. We look forward to meeting some of you at the Baird Industrial Conference this week in Chicago and to updating you again at our next earnings conference call. Have a great day. Thanks.
Operator: That concludes today's conference call. Thank you for joining, and please enjoy the rest of your day.